Operator: Ladies and gentlemen, good day, and welcome to Yeahka Limited 2024 Annual Results Announcement Call. [Operator Instructions] Please be advised that today's conference is being recorded. I'll now pass the call to Mr. Vincent Chan, General Manager of Capital Markets for Yeahka. Please go ahead, sir.
Vincent Chan: Thank you, and hello, everyone. Welcome to Yeahka's 2024 Annual Results Conference Call. Before we start, we would like to remind you that this presentation includes forward-looking statements that involve a number of risks and uncertainties. Information on general market conditions comes from a variety of sources outside of Yeahka's control. Please refer to our disclosure documents on our website's IR Section for a detailed discussion of risk factors. Now let me introduce the management team on tonight's call. Luke Liu, our Founder, Chairman and CEO, will kick off with a short overview. I will then provide a business review. John Yao, our CFO, will conclude with a financial review translated by Derek Lai, our Director of Finance before we open the floor for questions. Without further ado, I will now turn the call over to Liu.
Yingqi Liu: Thank you, Vincent. Hello, everyone. In 2024, we further embraced AI and generative technologies and strengthened our market leadership being a one-stop technology platform. Based on our uniquely large payment transaction volume, we expanded our product range, including more AI-related products, we deepened the service offering into more geographies in Asia. We increased focus on margins and commercial sustainability across payments and loan payments value-added services. And we also applied technology, streamlining operations, delivering bigger profits and cash flow, which in turn further powered our investments into products and regions more comprehensively. All this form a continuous virtuous cycle that solidified our company's inherent comprehensive advantage and continue to lead the industry, which is still in its early stage in AI application globally. Our core competitive advantage lies on our commercial digitalized ecosystem, where our payment business captures tens of trillion RMB worth of transaction volume and data points every year from which we can further develop mainly extension of use cases as captured through our merchant solutions and in-store e-commerce businesses. Based on which, every merchant needs on AI could be further developed and certified by our new products. Therefore, our development strategy is to strengthen such cohesiveness along the value chain and to increase the commercialization of such business segments. Starting from first, payments, we strengthened our diversified channels coverage, including banks, SaaS and ISOs to solidify our position serving higher quality and more profitable customers. We reinforced our nationwide footprint better than the others, having expanded into more complete territories in China as well as other countries in Asia. We beefed up our customized one-stop solutions to cross-sell payments, merchant solutions and in-store services as one. We served more customers across a wider range of vertical industries that mitigate sector cycles and give us room for more solid long-term growth. We also leveraged AI to enhance our quality and risk management, recently, market expansion efficiency. All this led more robustness in our payment platform, delivered higher quality earnings last year as well as set a firm stage to extend our long-term use case and value-added products, which achieved further commercialization last year. For example, our precision marketing business reached a record high in business transaction amount in 2024. The optimized mainstream online media resources like Tencent and Douyin to solidify our multiplatform marketing services position. AI algorithm facilitated our precise advertisement targeting and dynamic creative content generation, thereby raising conversion rates. In the fintech sector, we also optimized our self-developed credit assessment model to strengthen risk control capabilities and enhance potential for long-term profitability. Deepening AI applications continuously and expanding operation with our domestic and international strategic partners. We have further optimized commercialization capability of merchant solutions and improve our overall income and profitability. Another value-added service of ours also saw a significant business model transformation and profitability enhancement. In our in-store e-commerce business, we focus upon serving large-scale customers who have more demand on comprehensive marketing packages and provide more opportunities for us to upsell services, such that revenue and profit per merchant served in 2024 doubled year-over-year. We optimized our fees model. By the end of 2024, our fees paid upfront contributed around 50% of the revenue, such as -- such that profitability of our service offering were further ensured. We significantly reduced our investment in direct sales team and instead developed distribution channels and sales networks. So the period of large investments and costs were gone. On top, we used much AI for content generation to further streamline costs. Such a business was becoming breakeven, remained stable in scale, but accumulated large amount of experience that supports healthy, sustainable development going forward. With all this solid upgrade across our payment, merchant solutions and in-store e-commerce business segment we have a very attractive set of products to satisfy business needs of different verticals across Asia. Our overseas GPV in 2024 grew 5x year-over-year. We expanded our channels network with full acceptance at international card networks to increase our merchants and customers convenience. We took more strategic partnerships with global banks to provide more product offerings. We successfully penetrated into a more device set of industry to further open up market interest. We also launched in-store e-commerce service for merchants in Japan, Singapore and Hong Kong to further link up our payment and value-added solutions. Our one-stop quality and affordable solution for merchants has proven to be a popular proposition overseas. More large enterprises, chain store and household brands became our customers. We continue to have a flywheel effect and provide a platform to more widely apply our products, including AI. In Southeast Asia, for instance, we are providing the first industry AI agent solution in the region through our university company Fushi, where merchants can use our tool kits to conduct voice ordering from customers, perform transaction data analytics to increase conversation rate, utilize multi-language digital humans to interact with customers and generate personalized marketing content and then do automatic follow-up. All this puts the customers at forefront winning more business in the digital age where we're living. AI has been revolutionizing in many different ways, merchants, customers and we, as a central connector can get this business done. By investing early into new products and sharing them in more markets globally, leveraging our payments platform, such proposition will get us far ahead for years to come. We will continue to focus on enhancing operation -- operational efficiency and product competitiveness. Our sizable payment volume in China and our fast-growing payment volume overseas will continue to provide a solid and unique foundation for the extension of our one-store payment and other value-added technology services to more regions and for more use cases. The opportunities for further growth and profitability are more attractive than ever. On this note, may I pass to Vincent to give a detailed business review. Thank you.
Vincent Chan: Thank you very much, Luke. Indeed, last year, we steered Yeahka towards increased efficiencies and profitability, expanded businesses in more regions and countries as well as invested into many AI applications and products, leveraging our big data and use case outreach based on payments. Our payments business remains an undisputed market leader demonstrating much earnings resilience, where gross profit more than tripled in the second half of the year versus the first, thanks to the hard work in, number one, widening channels. We increased collaboration with over 6,000 SaaS partners, around 160 banks and 17,000 independent sales organizations. Two, expanding regional coverage, in particular, Northeast and Northwest China. Three, more customized vertical-specific payment solutions, such as for the energy industry, We also adopted AI across risk control, like ensuring safety more automatically for 19 million risky transactions as well as customer servicing where machine serving rate further increased to 85%. All this led to more earnings last year, and we are confident the trend will continue this year. Overseas, we also maintained our high growth in every aspect. Payment volume jumped to 6x of that in 2023, Card acceptance, much more complete having joined Visa, Mastercard and UnionPay International. Banks like Citi, Barclays and HSBC became some latest global organizations strategically partnering with us or leveraging our channels and capabilities. Penetration into vertical is much deeper into autos, luxury goods, entertainment and beyond with new customers like Lyca, Clinique, Bose and Arabica being some examples. Similarly, through Fushi, we also won global brands as customers such as Coffee Bean. We further expanded our business in Japan and Singapore. These evidence, number one, our products and services, our quality appreciated by both global and local customers. Two, is value adding to many of our partners overseas, where we synergize together. And three, the room for further growth is very promising across products and regions. Our payments business boasts RMB 1 trillion worth of transaction volume and behavioral data year in, year out. This is a very powerful base to develop further business use cases, where our other value-added services coming on top of which merchants AI initiatives could be done more to enable better commerce. And our value-added services continue to be a distinct part of our more encompassing digital solution for merchants, one stop. For instance, in Merchant Solutions, we enhanced our merchants marketing impact through data-driven channel distribution into the likes of Tencent and Douyin and to generate content more efficiently through our AIGC tools. Such marketing transaction volume hit a record high in 2024. And we achieved industry leadership in fintech sectors, covering over 90% of the major clients in the industry, including Ant and WeBank. We also optimized our proprietary credit evaluation model through machine learning, analyzing operating and financial data based on payments versus merchants repayment behavior. This creates further business use cases in fintech, credit evaluation and increased predictability for earnings longer term. Our other value-added business in-store e-commerce was also strategically upgraded in 2024 to focus on higher quality and more profitable customers. We significantly reduced our investment in direct sales team and instead developed distribution channels and sales network. As a result, sales efficiency grew both revenue and profit per employee increased during 2024. We also increased servicing key accounts and chain stores such as intercontinental hotels, where more comprehensive services could be served and products up sold. As a result, revenue and profit per merchant served in 2024 also doubled year-over-year. By the end of 2024, our fees paid upfront contributed around 50% of revenue in this segment, ensuring higher profitability in each of our service offerings. And of course, our AIGC tool kits that generate content without manual labor also further increased profitability. This business was becoming stable in scale with continued healthy growth as the period of significant investment ended. In 2024, by partnering with Meituan and JD Jingdong, we added food delivery use case to this business, completing our full use case service proposition, serving end customers, both in-store plus at home delivery. Our services rolled out to Japan, Singapore and Hong Kong in 2024 and continue to accelerate expansion globally, partnering with the international arms of large platforms like RedNote, Xiaohongshu and Dianping. As such, within all our value-added services lie many opportunities to help our merchants ride on all the opportunities brought upon by AI. And that is why in 2024, we developed a series of new proprietary products to help our customers reduce costs, increase efficiency and generate revenue. For example, our Windfall business intelligence platform provides customers seamless assimilation into external platforms like WeChat and Douyin and enhances their sales conversion by providing automatic e-stores buildup, AI content creation, live broadcast planning, and traffic distribution services based on data from large models. Similarly, through Fushi, we also launched the first AI agent for service industry for merchants in Southeast Asia, providing: one, intelligent transaction data analysis to optimize merchant product recommendation strategies to improve conversion rates. Number two, intelligent creative generation to automatically output precise marketing design plans, then proactively follow up merchants. And number three, more humanized and convenient customer experience, such as voice ordering functions that support automatic language switching. Of course, we also applied AI into every aspect of our business processes. Our Xiaoka Assistant provides content production, intelligent customer service, programming, copywriting and video generation to empower our company's internal operations and extend customer service. Our Y-Copilot coding assistant also uses large models to improve production and research efficiency, increasing our company's code adoption rates to more than 30%, and helping various projects be implemented much more quickly. Therefore, efficiency in risk control, such as KYC, document verification and abnormal transactions detection was also much raised. By increasing the use of AI tools, we reduced related operating expenses by 20%, delivering double-digit percentage reduction in our SG&A in 2024. We remain committed to further harnessing the transformative power of AI technology in our business. Our primary focus will be on enhancing operational efficiency and product competitiveness, allowing us to deliver more efficient and intelligent payment-based one-stop digital solutions for merchants, believe that our sizable payment volume in China and our fast-growing payment volume overseas combined with years of accumulated experience and understanding of the needs of various vertical industries, will continue to provide a solid and unique foundation for extending our AI commerce enablement to more regions and for more application use cases. With that, I will now turn the floor over to John, our CFO, to present a review of our financial results with translation provided by Derek, our Director of Finance. Thank you.
Zhijian Yao: [Foreign Language]
Derek Lai: [Interpreted] Thank you, Vincent. Let me briefly go through the highlights of our financial results for the full year of 2024.
Zhijian Yao: [Foreign Language]
Derek Lai: [Interpreted] On the revenue side, the average transaction amount decreased due to the volatile macroeconomic environment.
Zhijian Yao: [Foreign Language]
Derek Lai: [Interpreted] At the same time, we have proactively phased out less profitable projects during the year.
Zhijian Yao: [Foreign Language]
Derek Lai: [Interpreted] Therefore, the total revenue decreased by 21% from RMB 3.9 billion in 2023 to RMB 3.1 billion in 2024.
Zhijian Yao: [Foreign Language]
Derek Lai: [Interpreted] Meanwhile, Yeahka further optimized its revenue structure with both the revenue from nonpayment value-added businesses and their contribution to our revenue increasing. The proportion of nonpayment revenue rose from 11.8% in 2023 to 13% in 2024.
Zhijian Yao: [Foreign Language]
Derek Lai: [Interpreted] In 2024, our gross profit slightly declined by 1.3% to RMB 728 million.
Zhijian Yao: [Foreign Language]
Derek Lai: [Interpreted] However, the overall gross profit margin increased by 4 percent points from 18.7% in 2023 to 23.6% in 2024.
Zhijian Yao: [Foreign Language]
Derek Lai: [Interpreted] With the second half of 2024, achieving a 9.4 percentage point improvement to 28.4%, this was primarily driven by our payment business, leveraging industry leadership to gradually reduce agent commission rate. The annual gross margin of one-stop payments increased by 4.5 percentage points from 9.7% in 2023 to 14.2% in 2024, reaching 21.6% in the second half of 2024.
Zhijian Yao: [Foreign Language]
Derek Lai: [Interpreted] Additionally, the revenue proportion of high-margin value-added businesses further expanded, and overall gross profit margins from value-added services also further increased.
Zhijian Yao: [Foreign Language]
Derek Lai: [Interpreted] These achievements benefit from our continuous commercialization of our 3 major business lines and enhanced cross-selling synergies among them.
Zhijian Yao: [Foreign Language]
Derek Lai: [Interpreted] Meanwhile, we further optimized our cost structures, first AI application across business line significantly contributed cost efficiency.
Zhijian Yao: [Foreign Language]
Derek Lai: [Interpreted] Our sales, administrative and R&D expenses decreased by 11%, 10.8% and 10.5% year-over-year in 2024, respectively.
Zhijian Yao: [Foreign Language]
Derek Lai: [Interpreted] Second, we optimized financing costs and capital structures, reducing financing costs by 31.5% year-over-year in 2024, and lowering the gearing ratio from 45% at the end of 2023 to 35% at the end of 2024.
Zhijian Yao: [Foreign Language]
Derek Lai: [Interpreted] Consequently, Yeahka achieved a full year 2024 adjusted EBITDA exceeding RMB 384 million, with net profit growing over six-fold year-over-year to RMB 73 million compared to 2023.
Zhijian Yao: [Foreign Language]
Derek Lai: [Interpreted] Our solid business foundation, proactive AI adoption and overseas expansion has provided crucial support for sustained net profit growth. Moving forward, we will continue cultivating a healthy platform ecosystem to create a long-term sustainable value for all stakeholders.
Vincent Chan: Thank you. And with that, may we open up the call to any questions from the line, please? Operator, can you go ahead.
Operator: [Operator Instructions] We will now take our first question from the line of Juan Xie from Deutsche Bank.
Johnny Xie: This is Johnny from Deutsche Bank. My first question is about the one-stop payment. Could you management give more color about the app-based payment and traditional payment -- total payment volume in 2024? And what's the fee rates for them? I know there is an adjustment for non-IFRS. So after that, could you give more color about your expectations for the next year and beyond, what would be the fee rate look like? Will it go down further? Or do you think it's going to pick it up? And could you also give some color what do you see the GP margin for forward-looking because we have a significant improvement in last year?
Yingqi Liu: Thank you very much, Johnny. I appreciate the questions. First of all, if we take a step back, the overall consumption in the first months of this year have been better than last quarter. So when we project out, we are quite optimistic about the rest of the year. So we witnessed people are more willing to spend in general, and the latest government policies are also focusing on enhancing consumer sentiments. So the trend has been rather promising. The volume increase apply across our focus on QR code payments versus traditional remain about 80% of our payment volume still hinge around the QR code mobile payment volume. When it comes to the take rates, we also see very meaningful improvement in the industry, which means increasing space for profitability. We are particularly focused on the take rate on gross profit levels as opposed to just revenue because we think ultimately is about maximizing delivery of profit to our stakeholders, not just revenue. And year-to-date, we're seeing data of gross profit take rates increasing by over 10% versus last year. So we are quite optimistic about the inherent profitability and the cash flow generation as well as net profit for our payments business going forward. Hope that gives you a little bit more color.
Operator: We will now take our next question from the line of Thomas Chong from Jefferies.
Thomas Chong: My first question is about AI, given that I think AI can increase our productivity, enhance our monetization model. And on the other hand, it also improves efficiencies. So I'm just wondering, at this stage, should we expect AI is earnings accretive or dilutive in the sense that we also need to incur quite a lot of cost in server, in depreciation, while monetization is picking up. So just want to get some color with regard to the stage of AI development to our bottom line? That's the first question. And then my second question is about our overseas business. Given we are seeing the payment volume is going up quite quickly. Over the long run, what's our KPI in terms of the overseas payment volume contribution or in terms of revenue or earnings?
Yingqi Liu: Sure. Thank you very much. First of all, from a AI development perspective, we think it is an ultra mid- to long-term opportunity, and there's much room for us to monetize over our core proposition. And therefore, we don't mind having investments into this space. And we think that we also will do it in a way where profitability is in sight first before we go to spend that investment money. Therefore, our cash flow management won't be hampered just because of more investment into the AI space, and we will continue to be prudent and innovative in that manner to maximize that revenue or profit contribution ratio compared to our investments, the ROI concept into basically every business decision making and project taking in our AI initiatives. What to highlight the way we do AI is also different from some of the other companies that you see. For example, ours are much more client facing, even facing the customers of our customers instead of just optimizing, say, the mid-end or the back end of operations. And we think that this is providing much more opportunity for monetization because we are providing essentially much more immersive and attractive customer experiences for our customers, which would create many opportunities for us. Just to give you an example, instead of going through budgeting apps, our AI agent is much more conversational, you can use voice to interact with the digital humans. It also proactively makes recommendations instead of waiting for the users guidance. We think these much more natural applications won't increase much more cost or investments per se, is more of leveraging the data, which we already have based on our payments as well as our other value-added services analysis. Therefore, we think we are doing this in a way where the cost is very prudent, but we are going to revolutionize the service industry with this agent. Now on overseas expansion, we remain super excited of our prospects as we rapidly expand our products, the regions that we cover as well as the partnerships that we strike to maintain our growth in multiples. Overseas, there's no one-stop digital solutions like what we provide on one coherent platform and let alone customer-facing services, AI agents that sit on top of our large volume of data. So there are lots of angles that we can roll out in more regions and hence that multiples that we can see going forward. We are working on more licenses in multiple countries that will be on top of the multiples of growth that I mentioned that we budgeted within our existing overseas business. And our in-store e-commerce services, as we mentioned, are also expanding. Now it's in Hong Kong, Singapore and Japan. And as we accumulate more and more operating experiences, that would also accelerate the expansion all cross. And we see many Chinese enterprises are also expanding their footprint overseas, and they are also engaging with us on marketing services overseas. We think this is a trend that is very long term and secular and we will expand alongside our customers as well. And growing through the partnerships channels are also another driver, we mentioned some of the bank's example. Some of them are using our channels, connecting with the likes of Alipay and WeChat Pay. And obviously, there are many more financial products across these institutions and us. So we are looking to different synergies with them as well. So again, our quarter 3 is one stop as well overseas just like what we have, our core proposition back in China that entails a lot of cross-sell opportunities between payments and nonpayments, and to fuel our high growth going forward.
Operator: We will now take the next question from Vicky Wei from Citi.
Yi Jing Wei: So would management provide more colors about the QR code payment business, competition landscape in China and the Asian market.
Yingqi Liu: Thank you very much, Vicky. Nice to see you. QR code payment. I think the industry is, as you know, by banks and third-party payment service providers that remains the case. And we think both of these, we are seeing increased concentration of market share towards the top few players. And the smaller players have tougher time. This would also accelerate the trend as well. So ultimately, we think that it will be more like winners-take-most situation. So it's good to be a leading player in the first place. Now the QR code market when compared to traditional payment market that Johnny asked about earlier. It continues to grow and to be a dominant payment method compared to traditional in China. And there are various long-term growth drivers we think will support this. For example, the government policies promotion, the subsidies for mobile payments, the increasing cashless and compliance awareness of merchants, all these are helping the transition. Last but not least, the transition from personal payment accounts to more business commercial accounts when doing business, this is also another trend that we are observing. So all in all, we're seeing the transition and the growth of that remain. And therefore, the players that are still in this industry are trying to secure or maintain their market share through a few ways. One is you either tailor-made more products to cater for clients' needs and upgrade the servicing system, sort of maintaining their loyalty to you and upsell your product. Or the second way is to, you serve more larger customers, with higher aggregate transaction sizes because these merchants have more needs on value-added services outside of payment and that would naturally provide more upsell opportunities. And they are generally also loyal to good service providers, meaning that they are not just looking for prices. So all this means better profitability. And there's also another way to do it, which is to compete on price and subsidies given. And obviously, we want to focus on number one and number two because, number one, the service excellence and product customization of us will provide more room for premium pricing and increase customer stickiness. And number two, the ROI is just naturally higher on merchants with larger transaction sizes and with better margins. And therefore, our strategy is to stay relentless on innovation, including AI to optimize the process efficiencies for clients to make sure we stay on top of our service quality compared to others. And for larger sized clients, enterprise clients, we would also continue to serve more. Last year, for example, we served more oil and gas customers as an example. And we don't want to compete on price or subsidies because we think there is simply no light at the end of the tunnel, if you just chase on that. And eventually, we see some competitors withdraw from the market, releasing some space for us. You also asked about Asian markets in general compared to China. I think the other Asian markets are generally at an earlier stage of their cashless transition compared to Mainland China. And hence, it's less clouded in QR code, that offers more room for penetration and also for higher take rate in the quantum of multiples. And take Hong Kong and Singapore as an example, the penetration of QR-code is 30% to less than 10%, depending on what specific regions you look at. But those figures have been creeping up, and we have more efficient channels, development capabilities to help expand transition in these places because we have the right sales talent and our existing products in China are also very helpful for us in terms of operating leverage. And with our early footing, the Chinese competition in these overseas regions is also much less keen. So we have a rather differentiated value proposition compared to the locals on servicing, on pricing as well as on efficiencies of execution. So the industry will continue to transition. The cash flow transition will be the case in the mid to long term. We see that in the near term, for example, the recent relaunch of the multiple-entry Individual Visit Scheme in Hong Kong also promotes indirectly much further QR-code adoption by merchants because, obviously, they would love to receive payments from Mainland Chinese. So all in all, higher take rates in these Asian markets in the quantum of multiples, and that would mean we don't need the economies or GPV to be comparable to China, to earn similar size of gross profit for China versus China in the long term. And that's the beauty and attractiveness in overseas markets because the potential is just very, very large and attractive.
Operator: Our next question comes from the line of Manyi Lu from DBS.
Manyi Lu: Can you hear me?
Yingqi Liu: Yes, Manyi. Can hear you perfectly.
Manyi Lu: Just a quick question on the capital arrangement. Can you hear me?
Yingqi Liu: Yes. It's fine. Manyi.
Manyi Lu: Okay. Yes, yes. Sure. Yes. Yes. Just a quick question on the capital arrangement because we see that Yeahka has replaced the CD in FY '24. And at the same time, we have issued -- we have done a share placement earlier this year. So I just want to learn more about like how is our need for the like financial need, like what's your plan for the financials, especially the auto financing. Like what -- like do we need furthermore financing? And if so, do you prefer equity or debt? And at the same time, do you think that maybe there will be any chance for some like shareholder returns?
Yingqi Liu: Yes. Sure. Thanks, Manyi, for that question. First of all, maybe if we take a step back and give more colors about why we did the placement earlier this year. So we received reverse inquiries from some of the interested investors who have been following us for some time, and some of them who placed -- who we pledged the shares to also include long-term investors. And we, therefore, think that, that strategic as well as that long-term net of the capital is suitable. And therefore, we did it on a smaller scale earlier this year. We think that the timing is also good because it helps support expansion into our AI products as well as the regions that we have expanded into. And we also have the amount to continue to expand for the rest of the year. So we don't expect to incur any similar capital raising activities for the rest of the year as we see at this time point. And we think that the cash flow generation of our businesses inherently is also supportive enough to help us expand what we have budgeted already organically. You see that our cash flow from operations, for example, has been positive. And the latest figures that we are seeing this year is even better.
Operator: We will now take our next question from the line of [indiscernible] from CSC.
Unknown Analyst: My name is [indiscernible]. I have 2 questions. Now first -- okay, first, can management share more recent development of overseas expansion? And another question is what does the company think about potential shareholder returns? [Foreign Language]
Yingqi Liu: Sure. Thank you very much for the questions. I'll share more colors on the overseas market first. We are expanding truly in all angles. First of all, in terms of products, our payments expansion on top of which we have already been expanding our value-added services as well as in-store e-commerce services. All these places in Japan, Singapore, for example, we are seeing very good traction and the merchants have been really liking others. For example, when you think about Chinese going overseas for hotels, for spa services for many attractive opportunities out there, there is a gap in terms of marketing and value-added services provision to cater to these cross-border transactions, and we are exactly capturing this huge gap, which we see is a very blue ocean opportunity to grow going forward. And therefore, the regions that we are expanding will continue to be in Asia in the near term because the countries by themselves have already been offering too attractive of an opportunity for us to expand further into. When you think about the number of countries in Asia, in Southeast Asia, in East Asia, that is in our mid- and short-term focus. And we think that we will continue to deliver more results, more new merchants, more new use cases to make it even more comprehensive for the rest of the year. In terms of the partnerships with other payment providers, or banks within the region, we will continue to expand towards that direction because we see that as a very symbiotic relationship. Not only are these super global brands and names helping us to expand our services and capabilities overseas, we are also helping them to develop their payment business or their value-added services business. If you imagine these global institutions footprint in China, in Asia and in the rest of the world is truly phenomenal because the possibility to expand this product suites together with them, we think will offer a long way to grow going forward. And that's why I think ultimately, continuing to grow in terms of multiples in our overseas business for this year, it's something that is highly achievable. We mentioned about shareholder returns. We think that long term, there are great opportunities overseas, very high opportunities on AI products in terms of delivering multiples growth again. So we think this would be the best way to reward our stakeholders, our shareholders in terms of what we can deliver to them for our earnings, for our market cap, et cetera. And therefore, we will continue to do what is best in this industry, deliver the right and the best fundamentals. And we believe that on a long-term basis, that reward for our stakeholders will be much better than short-term focused initiatives.
Operator: Thank you all very much for your questions. And that concludes the question-and-answer session. I'd now like to turn the conference back to the management for any additional or closing comments.
Yingqi Liu: Thank you very much, operator. And thank you, everyone, again, for joining our results today. We are now ending the call. If you have any further questions, however, please feel free to contact us directly. Our contact together with other information in relation to our results can be found on our website at www.yeahka.com. So thank you, and see you again soon.
Operator: Thank you for your participation in today's conference. This does conclude the program. You may now disconnect. [Portions of this transcript that are marked [Interpreted] were spoken by an interpreter present on the live call.]